Operator: Good day. And thank you for standing by. Welcome to the Q2 2022 Materialise NV’s Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Harriet Fried from LHA. Please go ahead.
Harriet Fried: Thank you for joining us today for Materialise’s quarterly conference call. With us on the call are Fried Vancraen, Founder and Chief Executive Officer of Materialise; Peter Leys, Executive Chairman; and Johan Albrecht, Chief Financial Officer. Today’s call and webcast are being accompanied by a slide presentation that reviews Materialise’s strategic, financial and operational performance for the second quarter of 2022. To access the slides if you haven’t already done so, please go to the Investor Relations section of the company’s website at www.materialise.com. The earnings release that was issued earlier today can also be found on that page. Before we get started, I’d like to remind you that management may make forward-looking statements regarding the company’s plans, expectations and growth prospects, among other things. These forward-looking statements are subject to known and unknown uncertainties and risks that could cause actual results to differ materially from the expectations expressed, including competitive dynamics and industry change. Any forward-looking statements, including those related to the company’s future results and activity, represent management’s estimates as of today and should not be relied upon as representing their estimates as of any subsequent day. Management disclaims any duty to update or revise any forward-looking statements to reflect future events or changes in expectations. A more detailed description of the risks and uncertainties and other factors that could impact the company’s future business or financial results can be found in the company’s most recent annual report on Form 20-F filed with the SEC. Finally, management will discuss certain non-IFRS measures on today’s call. A reconciliation table is contained in the earnings release and also at the end of the slide presentation. With that introduction, I’d like to turn the call over to Peter Leys. Go ahead, please, Peter.
Peter Leys: Thank you, Harriet. And thank you everyone for joining us today. As always, you can find the agenda for our call on Slide 3. As the first item on our agenda, I will summarize the highlights of our financial results for the second quarter of 2022. Then I will pass the floor to Fried, who will give you more insights into our active business line, to which we are pursuing a new vertical opportunity for our manufacturing business. After that, Johan will walk you through our second quarter numbers in more detail. And finally, I will come back to give you some observations about what we currently believe the rest of the year may bring. When we’ve completed our prepared remarks, we will be as always happy to respond to any questions that you may have. So let’s turn to Slide 4, which summarizes the highlights of our financial results. In the second quarter of 2022, we recorded €58.1 million in revenues, representing a growth of almost 15% compared to last year’s period. Also, and importantly, deferred revenue for maintenance and license fees further increased €3.8 million compared to the end of last year, mainly driven by the strong sales performance in our medical segments. Our adjusted EBITDA for the quarter amounted to €4.2 million, compared to €6.9 million last year and was impacted both by our continued investment in our CO-AM solutions. And by inflation related higher expenses in particular, renovation costs. Our earnings for the quarter are $0.02 per share. And with that, I would like to pass the floor to Fried, who will explain the investments we plan to make in our ACTech business line and the market opportunities method presents. Fried?
Fried Vancraen: Thank you, Peter. Good morning, and good afternoon, everyone. The launch of CO-AM, which we discussed at length during our Q1 call, received a warm welcome at the RAPID show in Detroit in May. We are in discussions with multiple parties that want to use or join the new CO-AM platform. But as you know, those strategic interactions do take time to develop. In today’s call, we want to discuss a major opportunity that we have signed together with our ACTech team in Germany. Let me give you some background for this decision and an explanation of its potential and benefits. Not only on our financial results, but also on efforts to offset global warming. You’ll see some images that illustrate our efforts for this business on Slide 5 and Slide 6. Our manufacturing activities have not only recovered to pre-COVID levels, but even reached a new height in Q2 2022. They exceed the Q2 2019 levels by more than 10%. Importantly, our manufacturing business did not simply bounce back to pre-COVID levels. It also significantly changed its focus to what we believe are the most promising segments and verticals for 3D printing. In executing this strategy, we have significantly reduced the role of the automotive sector in our plastics manufacturing activities. Compared to last year, in our contract manufacturing business, the industrial goods and medical device projects grew 25% while automotive projects remained stable at the low level of 2021. Although, the amount was rising in 2022, we have refused to grow low margin automotive prototyping projects in plastics. Instead in the legacy automotive subcontracting, we have been focusing our efforts where we have a large competitive edge, for instance, on large stereo-lithography parts printed on our Mammoth printers. As part of that same strategy, we encouraged as it takes, which is also focusing on the automotive sector, but exclusively on the metal side to bring its metal parts turnover as quickly as possible back to the pre-COVID levels. Importantly, in this process, our team at ACTech has strategically repositioned its product mix with multiple opportunities for the future. This repositioning of the ACTech product offering is seamlessly aligned with at least two major trends within the automotive industry. First, the biggest legacy business of ACTech was situated around the development of new internal combustion engines for passenger cars, pre-diesel gates and pre-COVID. The combination of both the diesel gates and the COVID crisis cut our ACTech turnover by 50% early 2020. Since then ACTech has shifted its focus from small cylinder blocks and turbochargers to complex casted components for electric car drive-trains and chassis. As the entire automotive sector is under immense time pressure to launch new electric passenger cars, the timely shift of focus over ACTech sales teams to electrification has allowed ACTech to gradually return its revenues to normal business levels at sustainable margins. Second, the size of the components that our ACTech factory can handle through sand 3D printing has increased in size and range. Opening new market opportunities in agricultural, mining, construction and marine vehicles, for this sector, the market expects a long-term business opportunity for a wide variety of small series of so-called huge and heavy parts for large engines, with a diverse portfolio of energy sources. For instance, hydrogen and other gases or biofuels and other alternative fuels. It is expected that these alternatives to electric engines will be needed as batteries will be short in supply and too heavy for the intended use. Our sales team sees a rapidly increasing activity in this market. Important to note is that while the number of developers of an alternative system is even larger than in the passenger car markets, the global warming is putting acute time pressure on the companies in those markets. And they were used to long development cycles. Therefore, they are now turning to ACTech for fast and reliable prototyping solutions. There are more than prototype opportunities here. The complexity of those parts is increasing to get better thermodynamic cycles in the engine with maximum fuel efficiency. This turns the combination of high precision sand printing and casting into a production technology for the small series. It also implies that those new generation of engines for which the core components are manufactured, that ACTech have a major impact on carbon dioxide reduction compared to the older generation of engines. The transition from pre-production prototypes to small series is already happening today. We believe we are uniquely positioned to help scale it, especially because at ACTech, we have a unique combination of all the technologies and skills that are required to address this niche market. Sand printing, molds assembly, metal casting, and all of the needed complex post processing steps, including CNC milling. The analogy between the opportunity that presents itself in this huge and heavy subsection of the automotive market and the opportunity that we have signed in other medical and biomedical verticals is obvious. 3D printing is a key part of the solution, but the only way to capture it’s full value is by being able to integrate the 3D printed parts into a broader solution. The offering of the full or in solution is significantly more valuable for the customer. And thus has higher margin potential than the offering of a 3D printed subcontracted part. That is why we have decided to invest in an extra plant of 9,000 square meters, close to our existing ACTech facilities. The new plant will be dedicated to CNC milling and quality control operations. This will create space to increase the sand printing, molds assembly and casting operations in the old plant. In order to expand our production capacity, we are planning a total investment of €23 million in the coming years, which will double ACTech’s capacity. Doing so, we will develop the ACTech activities as a vertical specialized in high value, high impact vehicle components that are a meaningful 3D printing application. This investment project fully supports our drive to create choices for sustainability through additive manufacturing. And let me now pass the call to Johan.
Johan Albrecht: Thank you, Fried. I would begin with a brief review by consolidated revenue on Slide 7. As a reminder, when I refer to sales in our presentation, we mean revenues plus change in deferred revenues. Also please note that unless otherwise stated all comparisons in this call are against our results for the second quarter of 2021. Revenue increased 15% to €58.1 million. The increase took place in all three segments. The growth in our Software segment was 6%, our Medical segment grew by 19% and revenue in manufacturing increased 14%. Importantly, deferred revenues from software license and maintenance fees further increased and were up €3.8 million compared to the end of last year, further, under scoring the strong software sales performance within our Medical segment. For the second quarter of 2022, Materialise Software accounted for 18% of our total revenue Materialise Medical for 36% and Materialise Manufacturing for 46%. Cross segment revenue from software products represented 30% of our total revenue. Moving to Slide 8. You will see our consolidated adjusted EBITDA numbers for the second quarter of 2022. Consolidated adjusted EBITDA was €4,240,000 compared to €6,925,000 for the same period last year. Our adjusted EBITDA reflected the negative effect of our investments in new business, labor resources and inflation. Slide 9 summarizes the results of our Materialise Software segment. Software revenue increased 6.1% to €10,642,000 driven by 12.7% sales from renewed licenses and by usage from deferred revenue. Revenue from non-recurring sales decreased 9.5%. We look forward to converting the positive feedback we’ve received on our CO-AM platform and applications into significant sales growth. Although, we expect to see these effects only in the midterm because of the introduction time and because of the nature of the cloud solutions we offer. In fact, the typical cloud pricing model will have a temporary negative impact on revenue growth in the beginning as a result of recognition of sales, but will then boost growth through renews and growing licenses and services. EBITDA margin was 7.7% or €821,000 compared to €3.1 million last year. The investments in our new CO-AM business weighs on the segments EBITDA as we increased our R&D efforts by 73% and our sales and marketing expenditures by 31%. Moving now to Slide 10. You will see that Materialise Medical continued growing at a solid double digit pace of 19%, both from software and medical devices solutions. Software sales even grew by 52% of which €2 million was deferred in the revenue recognition. Adjusted EBITDA amounted to €4.5 million at the same level of last year. Our EBITDA margin decreased to 21.5% as a result of various effects. First, the portion of revenue in our sales from complex implants of medical devices increased significantly. Second, we continued investing in people and in R&D and sales and marketing to sustain our growth in new business lines. And third, the effect of inflation and the war for talent impacted our results earlier that we could adapt our annual price increases. Now let’s turn to Slide 11 for an overview of the Q2 performance of our Materialise Manufacturing segment. Revenue grew 14.2% to €26.6 million driven by our core manufacturing business lines. Solid order intake also looks promising for revenue in the next few months. Our new growth business lines eyewear and motion are experiencing fluctuating quarterly growth rates that will require more time to contribute significantly to the total segments revenue. Meanwhile, our investment programs in these businesses are outgoing and together with the effects of inflation, labor shortages and temporary higher cost of subcontracting that all affects the segments profit. Adjusted EBITDA for the quarter was €1,581,000, €269,000 without last year’s period. Slide 12 provides a highlights of our income statements for the second quarter. Gross profit margin was 55.2% compared to 56.1% in Q2 last year. Our operating expenses increased 25.1% to €33.6 million. We significantly invested in our group businesses, including CO-AM. Our expenditures in R&D increased 31%, sales and marketing rose 25% and G&A were up 21%. As explained in the previous sections, inflation and the war for talent also weigh all our costs. As a result of these factors, the groups operating result was negative €1,084,000 compared to €2,421,000. Net financial income for Q2 was €2.6 million and included unrealized currency exchange gains of €3 million, mainly reflecting the strong U.S. dollar euro position on intercompany position. Net profit for the quarter was €896,000 or €0.02 per share compared to net profits of €3.4 million. Now please turn to Slide 13 for a recap of balance sheet and cash flow highlights. By the end of the second quarter of 2022, our balance sheet remains strong. Cash amounted to €168.1 million where our borrowing position further decreased to €90.5 million. Cash flow from operating activities for the second quarter of 2022 was €8.6 million compared to €8.9 million. Capital expenditures for the quarter amounted to €6.5 million and were not financed. Peter?
Peter Leys: Thank you, Johan. Before opening the floor to questions we want to try and give some insights into what we currently believe the remainder of 2022 will bring. Our business performs well. The consecutive revenue growth posted by each of our segments in the first and in the second quarter of this year strengthens our confidence that our full year 2022 revenues will be at least 10% higher than the previous year. At the beginning of the year we announced that we intended to accelerate our investments in particular in our CO-AM platform, and that this would result in a lower EBITDA than last year. Since then, global inflation and the effects of the war for talent have become higher and more persistent than initially expected. Despite these worsening macroeconomic circumstances, we currently intend to continue to execute on our growth plans even if these efforts will weigh more on our bottom line this year than we had initially anticipated. As a result, we currently expect that our consolidated EBITDA for the full year 2022 will be in the range of €20 million to €25 million. With this, I would like to conclude our prepared remarks. So operator, you can now open the call to questions.
Operator: All right. Thank you. [Operator Instructions] Our first question comes from the line of Jason Celino from KeyBanc. Please go.
Jason Celino: Great. Thanks for taking my question. Nice to see the new growth opportunities within ACTech. The new plant looks to capitalize on that. How should we think about the timing of the €23 million investment that you talked about?
Fried Vancraen: Well, a first portion is going to this year’s acquisition of the building. And that’s in the order of magnitude of €6 million to €7 million as it will include also some renovation works on this building. And as of next year, we will be able to start installing the equipment. And yes, the further investments will be in order of magnitude of €10 million in 2023 and yes, the remainder €7 million in 2024.
Jason Celino: Okay. Perfect. And then the...
Fried Vancraen: The turnover – sorry, the turnover of that is related to this investment is to some extent already started this year, but we try to handle some of it through subcontracting and it will only be handled internally as of the second half of next year.
Jason Celino: Okay, perfect. Thank you. That makes sense. Staying on the Manufacturing segment, very solid performance, you talked about good order intake for the rest of the year. But did you see any pulling into the second quarter or at least just broad base strength?
Fried Vancraen: Excuse me, I didn’t fully understand the question. Did we see any cooling or what did you say?
Jason Celino: I mentioned pulling any orders filled in second quarter that may have come from prior quarters or upcoming quarters.
Fried Vancraen: Well, I can tell you that that order intake and invoicing were quite in equilibrium, so order intake is still very solid at this moment.
Jason Celino: Okay, excellent. I’ll pass it on to the next speaker.
Peter Leys: Thank you, Jason.
Operator: One moment while we open up to next question. Your next question comes from Noelle Dilts from Stifel. Please go ahead.
Noelle Dilts: Hi guys. Good morning.
Peter Leys: Hello, Noelle. Good morning.
Noelle Dilts: Hey, good morning. So first I was just hoping when you sort of look at the incremental headwinds to the profitability this year from inflation and the war for talent. Could you maybe just kind of parse out, which is more impactful? And I guess the reason I’m asking that question is just to think about, could these elements worsen in the back half of the year? Or do you feel like you’ve got a pretty good handle on how things are on sort of the forward trajectory at this point? Any thoughts around that would be great. Thank you.
Fried Vancraen: Well, if you look at our cost base, the bulk obviously is remuneration for the knowledge company that we are. So the hit that our EBITDA is taking is definitely to a large extent associated with increased remuneration costs that on the one hand flow from the fact that we definitely want to keep as much talent as we currently have on boards. And on the other hand, as we want to continue to grow and want to continue to further invest taking new talent on board also requires more investments than we had initially anticipated. So that is increased remuneration costs because of that war for talent definitely is a very significant part of the increased total expenses that we are experiencing. And second, of course, and that also weighs as you have seen somewhat on our gross margin. Electricity costs, supplies of materials, also costs there have increased which also weigh on our results. As Johan has already indicated during his initial remarks, we have not been able to just because of a timing effect, not been able to pass all these increased expenses onto our customers, right. For some reason, just for simple timing effect, in other instances, in particular in medical, because we have contractual arrangements with our customers, which allow us to adjust prices for inflation and related increased costs at particular instances in the year. And these events just do not coincide perfectly. We will only be able to adjust some of the pricing in particular, in long-term contracts with our medical partners in the course of the second half of the year.
Noelle Dilts: Right. Okay, great. And that actually ties into my second question basically, where I was going with that, which is, there have been some fairly recent, I don’t know developments or changes in the business, whether that’s launching CO-AM data lake or now really expanding ACTech. Any changes and how you’re sort of thinking about the longer term or multi-year margin potential for the business. If you could just touch on how you’re thinking about that, that would be great. Thank you.
Peter Leys: Again, as Johan already indicated, we are – I mean, very optimistic about our CO-AM platform and also about the potential for margin generation that platform and the business model behind the platform will generate. But then as Fried indicated, we are in discussion with a number of parties. These discussions are disruptive for the parties because once they choose for a platform, they really make a multi-year engagement. So these onboarding discussions that are currently going on take time. And then subsequently obviously our business with these players will increase as their adoption of 3D printing increases. So the very solid margin that we expect from CO-AM and that gives us confidence that our software business will go back to the 30% and 35% plus margins that it shows only recently our confidence is very high but that is not going to happen in the first quarter. We think it’s more likely going to happen towards the end of next year.
Noelle Dilts: Yes. Okay, great. Thank you very much.
Fried Vancraen: Noelle, that relates to the spare business, on the longer term, we also expect continuation of the growth that we see in the medical segment. And then as in his section mentioned the promising growth of ACTech where we will double capacity, the capacity will not be doubled in revenue immediately. It’ll take some time that also looks promising where we also will have much higher margins and in traditional 3D printing manufacturing business lines. And then finally, we also mentioned that we continue investing in other new business lines like eyewear and motion, and also that takes time, but you would not invest in that if you don’t have an outlook of higher revenue over the next years with also nice margins to realize.
Noelle Dilts: Appreciate the color. Thank you.
Operator: [Operator Instructions] There are no further questions at the moment. I would now like to turn the conference back to Peter Leys for the closing remarks.
Peter Leys: Thank you, operator. And thank you all for joining us today on the call. We as always look forward to continuing our dialogue with you through investor conferences or in one-on-one virtual meetings or calls. So please reach out if you have any further questions. And for the moment, I would like to thank you again, say goodbye to all of you. And for those of you who have holiday ahead of you still happy holidays. Goodbye for now.
Fried Vancraen: Goodbye.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.